Operator: Good afternoon. My name is Julian, and I will be your conference facilitator today. At this time, I would like to welcome everyone to Manhattan Associates, Inc. Q4 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer period. If you would like to ask a question during this question and answer period, simply press star then one on your telephone keypad. As a reminder, ladies and gentlemen, this call is being recorded today, January 27, 2026. I would now like to introduce you to our host, Mr. Michael Bauer, Head of Investor Relations of Manhattan Associates, Inc. Mr. Bauer, you may begin your conference.
Michael Bauer: Great. Thanks, Julian, and good afternoon, everyone. Welcome to Manhattan Associates, Inc. 2025 Fourth Quarter Earnings Call. I will review our cautionary language and then turn the call over to our President and Chief Executive Officer, Eric Clark. During this call, including the Q&A session, we may make forward-looking statements regarding future events or Manhattan Associates, Inc.'s future financial performance. We caution you that these forward-looking statements involve risks and uncertainties, are not guarantees of future performance, and actual results may differ materially from the projections contained in our forward-looking statements. I refer you to Manhattan Associates, Inc.'s SEC reports for important factors that could cause actual results to differ materially from those in our projections, particularly our annual report on Form 10-Ks for fiscal year 2024 and the risk factor discussion in that report and any risk factor updates we provide in our subsequent Form 10-Qs. Please note that the turbulent global macro environment could impact our outperformance and cause actual results to differ materially from our projections. We are under no obligation to update these statements. In addition, our comments include certain non-GAAP financial measures to provide additional information to investors. We have reconciled all non-GAAP measures to the related GAAP measures in accordance with SEC rules. Find reconciliations scheduled in the Form 8-Ks we filed with the SEC earlier today and on our website at manh.com. Now I'll turn the call over to Eric.
Eric Clark: Thank you, Mike. Good afternoon, everyone, and thank you for joining us as we review our better-than-expected fourth quarter and full-year 2025 results as well as provide our outlook for 2026. 2025 was a successful year for Manhattan Associates, Inc., and we ended the year strong, achieving record cloud bookings in the fourth quarter. In a volatile environment, Manhattan Associates, Inc. achieved annual records across RPO, cloud bookings, total revenue, operating income, free cash flow, and earnings per share. Recall back in April on my first earnings call, I highlighted how Manhattan Associates, Inc.'s strengths are well established as our platform, our products, and our people are recognized as world-class. Through strategic investments, we've strengthened each of these areas in 2025, positioning us to accelerate our momentum in 2026 and beyond. So let me briefly touch on each. In 2025, we extended our position as the leading innovator within the supply chain commerce universe and enabled faster implementation of our industry-leading solutions. While I will provide a more detailed platform and product update in a few minutes, I'm excited to say that several weeks ago, on the heels of a successful early access program, we announced the commercial availability of our initial set of AI agents and our agent foundry. Our offering enables customers to build or customize new agents directly in the active platform using natural language. Excitingly, results and feedback from our early adopters indicate that our AI agent workforce generates significant value. As increased automation and simplicity can drive higher productivity ROI, improve customer satisfaction. In 2025, our R&D team launched additional new offerings, including enterprise promise and fulfill, which is designed to optimize B2B order promising and fulfillment. As well as introduced numerous industry-leading features and functionality across our supply chain commerce solutions. On the people front, to improve our effectiveness and accelerate our selling velocity to both new and existing customers, in 2025 we made key hires and introduced several new programs within our sales and marketing organization. To briefly recap, we reorganized our entire global sales team under the leadership of our Chief Sales Officer Bob Howell. And added several new sales leaders and product specialists to the team. Additionally, we hired Greg Betts as our Chief Operating Officer and under his leadership, we have introduced several new programs to drive growth. Last week at our sales kickoff in Atlanta, we hosted a partner day that was attended by more than 100 people from across our partner community. Greg and his team introduced our updated partner program for global SIs, Manhattan specialists as well as technology partners like Google and Shopify. And a few weeks ago, we announced the hiring of Katie Foote as Chief Marketing Officer. Katie brings more than twenty years of marketing leadership for technology companies, most recently she was the CMO at Captivate IQ, and prior to that, she held several leadership roles at salesforce.com. I'm excited to say that Katie hit the ground running and spent her first week with Manhattan Associates, Inc. at NRF in New York. We're delighted to have her on the team. Now pivoting to quarterly results. Q4 was a record quarter that exceeded expectations. Revenue increased 6% to $270 million, highlighted by 20% growth in cloud and a return to growth in services. This resulted in adjusted earnings per diluted share increasing to $1.21. RPO increased 25% to $2.2 billion. In Q4, competitive win rates remained over 70% and more than 75% of our new cloud bookings were generated from net new logos. For the full year, our team did a fantastic job gaining market share. As new logos represented more than 55% of our 2025 new cloud bookings. With our growing opportunity for expansion from existing customers, we anticipate net new logos to revert to one-third of our new cloud bookings over time. Manhattan Associates, Inc. has always had strong cloud revenue visibility and that gives us confidence in the durability of our growth. To better assist investors' assessment of our business, today Dennis will provide additional color on renewals and annual recurring revenue. Many of our contracts will reach or approach full ramp pricing by the fourth year of subscription. So to better showcase this dynamic, we're introducing a four-year annualized value of recurring revenue or a ramped ARR. This ramped ARR alongside RPO will help investors quantify the pace of our cloud revenue growth over time. At the conclusion of 2025, our ramped ARR exceeded $600 million and was up 23% compared to the ramped ARR at the conclusion of 2024. From a vertical sales perspective, our end markets are diverse. And we have healthy established footprints across numerous sub-sectors, which include retail, grocery, food distribution, life sciences, industrial, technology, airlines, third-party logistics, and more. For example, Q4 deals included the following: A Fortune 100 home improvement company became a new logo active warehouse customer. An upscale department store chain became a new logo Active Omni and Active Warehouse customer. The largest global provider of medical surgical products became a new logo active warehouse customer, a lifestyle brand and omnichannel retailer of premium home furnishings that was an existing warehouse customer expanded to include Active Omni, a medical supplies equipment and services company became a new logo active supply chain planning customer a home furnishing wholesaler became a new logo active transportation and active warehouse customer. And many more as well. So looking out to the New Year, our pipeline remains strong across our product suite and we have numerous opportunities to drive growth. Including adding new customers, cross-selling our growing unified product portfolio converting our on-premise customers to the cloud, and renewing our initial sizable cohort of active warehouse customers. So now let me briefly provide some updates on our industry-leading products. As I stated earlier, we recently made our agentik.ai product set commercially available to our entire active customer community.
Dennis Story: Our active agent offering consists of two primary elements.
Eric Clark: Elements, a set of base agents that are ready to be activated immediately and our agent foundry offering which enables our customers to quickly build and deploy their own agents within the active platform. We designed our base AI agents in collaboration with a set of key customers to provide immediate valuable value to our customers by solving important day-to-day problems in areas like warehouse, transportation, contact center, and stores. Because we built our active agents directly into the platform, our customers do not need to implement costly and complex external data lakes to make them work. Our API-first architecture enables us to solve a growing list of high-impact problems with almost no configuration or additional upfront effort. And while our active agents are highly capable today, we have an aggressive product roadmap which will both enhance our existing agents with new features and deliver entirely new agents. Our agile software delivery process enables us to deliver these additional agent features on an incremental basis throughout 2026. In addition to these base agents, this month we also released our agent foundry. This intuitive tool enables our customers to build their own AI agents. Foundry provides a visual editor to allow customers to either start with an existing base agent and enhance it, to create an agent entirely from scratch. To achieve this, Foundry provides our customers with a comprehensive set of both base API and agentic tooling. And during our early access program this fall, our forward-deployed engineers use Foundry to enable our customers through a powerful new agents purpose-built to tackle specific operational challenges. In terms of commercialization, our goal is to make it easy for our customers to start their agentic journey with us and we are going to do that by offering a low-risk active agent pilot to get started. We are confident that the combination of our powerful base agents the flexibility provided by Foundry and the deep technical and domain expertise of our Manhattan forward-deployed engineers will provide a compelling reason for our customers to add an active agent after they complete their pilot.
Dennis Story: Our active agents
Eric Clark: made their public debut a few weeks ago at NRF where there was strong interest for these new AI capabilities and our active store offering, which is centered around our active point of sale application. Designed from the outset to be mobile-first and cloud-native active point of sale now also embeds a GenTick AI to help store associates become more effective sellers. With real-time insights into sales performance and the ability to understand what is selling well across the network our store associate agent provides prescriptive recommendations within the point of sale application. Because many of our active store customers also use our active OMS these selling insights and recommendations are enabled by a truly view of our customers' commerce activity. Speaking of order management, this quarter we are also releasing a powerful new fulfillment optimization simulation capability. Our customers can now experiment with a variety of optimization settings to ensure they are meeting the overall needs of their business at any given time. Many of our customers change their view of what optimal fulfillment means throughout the course of the year. During the holiday season, speed of delivery may predominate while at the end of the spring season, there is likely more emphasis on shipping distressed inventory to avoid markdowns. Our new simulation feature enables our customers to test a number of these strategies compare the outcomes and ensure the system is ready to pivot fulfillment strategies when the business calls for it. Like interactive inventory, we project fulfillment simulation to have strong cross-sell potential for our active Omni customers. And finally, we continue to experience strong sales and implementation results across our supply chain execution applications. Our active warehouse application continues to differentiate itself both its functional and technical superiority. During selection processes, the vast majority of prospects reached the conclusion that only Manhattan Associates, Inc.'s active warehouse application will meet their needs. And 2025 was also a strong year for our active transportation application with respect to both strategic wins and key go-lives around the globe. Our unification message continues to resonate Customers no longer want to select separate stacks for warehouse and transportation. They see the real power of a single platform optimizing inbound and outbound flow throughout their supply chain. That concludes my business update. I'll now turn it over to Dennis to report on our financial performance and outlook and then we'll move on to Q&A. So Dennis?
Dennis Story: Thanks. Thank you, Eric. As Eric highlighted in 2025, we set records across bookings, our P&L, and cash flow. Congratulations to our team members around the globe for great execution in a volatile macro environment. I'll start by recapping our better-than-expected financial performance for the quarter and year. All growth rates are on an as-reported year-over-year basis unless otherwise stated. Regarding FX, it was a one-point tailwind to our Q4 revenue growth rate and did not have a material impact on our full-year revenue growth rate. For RPO, FX was less than a $1 million tailwind to sequential RPO growth and a $41 million tailwind to year-over-year RVO growth. As Eric highlighted, to better assist investors' assessment of our business today, we are providing additional color on renewals, and annual recurring revenue. ARR. Many of our contracts reach or approach full ramp pricing in the full year of the subscription agreement. And so to provide additional insight on our cloud revenue visibility, we are introducing a four-year annualized value of recurring revenue or ramped ARR. Our assumptions for ramped ARR are as follows. If a renewal is set to occur, during this four-year period, it renews at current pricing with no churn or price increases assumed. Also, if a pricing ramp schedule extends beyond the four-year window, which today that would be any ramps beyond 2029 that future uplift is not included. At the conclusion of 2025, our ramped ARR exceeded $600 million and was up 23% compared to the ramp period at the 2024. Please recall deals that include ramp pricing are only time-based which supports our strong cloud revenue visibility. So moving to Q4, total revenue was $270 million up 6% and full-year revenue totaled $1.08 billion up 4%. Excluding license and maintenance revenue, which removes the revenue compression by our cloud transition, Q4 revenue growth was 9% and full-year 5%. Q4 cloud revenue totaled $109 million up 20% and includes a customer liquidation headwind of $1.3 million that was not embedded in our guidance. This resulted in full-year cloud revenue increasing 21% to $408 million. As Eric stated, we achieved record cloud bookings in Q4 as we closed out 2025 with RPO of $2.2 billion growing 25% year over year and 7% sequentially. Our RPO strength was driven by continued new logo momentum. Which was a significant contributor to our approximately 20% growth in new cloud bookings for the year Renewals which does not include cross-sells were about 18% of total bookings in 2025, Contract duration remains at 5.5 to 6 years resulting in 38% of RPO to be recognized as revenue over the next 24 months. Q4 services revenue of $120 million was better than expected as solid execution returned this line item back to growth earlier than our original plan. For the full year services revenue declined 4% to $503 million. Q4 adjusted operating profit was $91 million with an operating margin of 33.8%. Full-year adjusted operating profit totaled $387 million with a 35.8% operating margin and represents over 100 basis points of improvement over 2024. The better-than-expected Q4 and 2025 results were driven by strong cloud revenue combined with operating leverage as our cloud business scales. Q4 earnings per share increased 3% to $1.21 and GAAP earnings per share increased 12% to $0.86 big whopper there. This resulted in full-year adjusted earnings per share increasing 7% to $5.06 and GAAP earnings per share to increase 3% to $3.6. As discussed in Q2 and Q3, our higher tax rate is due to an increase in tax reserves caused by the acceleration of our domestic R&D cost deductions under the July 4 U.S. Tax law change. As such this change was the predominant driver to the $15 million reduction in Q4 cash taxes and $36 million reduction in our annual cash taxes. So, moving to cash. Q4 operating cash flow increased 40% to $147 million with a 52.7% free cash flow margin and 34.4% adjusted EBITDA margin. Our full-year operating cash flow increased 32% to $389 million with a 34.6% free cash flow margin and 36.4% adjusted EBITDA margin. Turning to the balance sheet. Deferred revenue increased 21% year over year to $337 million. We ended the year with $329 million in cash, and zero debt. Accordingly, we leveraged our strong cash position and invested $75 million in share repurchases in the quarter resulting in $275 million in buybacks in 2025. Additionally, the board has approved the replenishment of our $100 million share repurchase authority. So moving on to our 2026 guidance. Our long-term and long-standing financial objective is to deliver sustainable double-digit top-line growth and top quartile operating margins benchmarked against enterprise software comps. Software comps these are drivers to our best-in-class return on invested capital as we maintain a balanced investment approach to growth and profitability. As noted on prior earnings calls, our goal is to update our RPO outlook on an annual basis. Additionally, as previously discussed, our bookings performance is impacted by the number and relative value of large deals we closed in any quarter which can potentially cause lumpiness or non-linear bookings throughout the year. All guidance references made on today's call will be at the midpoint of their respective ranges. So with that, for RPO, we are targeting $2.62 billion to $2.68 billion RPO, representing a range of 18% to 20% growth. Included in our target is an 18% to 20% contribution from renewals which implies double-digit growth in both new bookings and renewals when normalizing for FX movements. For full-year 2026, we expect total revenue of $1.133 billion to $1.153 billion. The $1.143 billion midpoint represents 10% growth excluding license and maintenance attrition, and 6% all in. For Q1, we are targeting $272 million to $274 million, which at the midpoint represents 10% growth excluding license and maintenance attrition and 4% all in. For the rest of the year, at the midpoint, we are targeting total revenue of about $287 million in Q2, $296 million in Q3, and accounting for retail peak seasonality $287 million in Q4. For 2026, adjusted operating margin we expect a range of 34.5% to 35%. Removing the impacts of license and maintenance attrition the 34.75% midpoint represents about 75 bps of margin expansion compared to 2025 and includes increased investment in our business particularly in sales and marketing and expanding our services teams. On a quarterly basis, at the midpoint adjusted operating margin is expected to be about 31%. In Q1, 34.7%, In Q2, 36.9%. Q3, and accounting for retail peak seasonality, 36.1% in Q4. This results in a full-year adjusted EPS guidance range of $5.04 to $5.2 and a GAAP EPS range of $3.37 to $3.53. For Q1, we are targeting adjusted earnings per share of $1.08 to $1.1 and GAAP earnings per share of $0.64 to $0.66. For Q2 through Q4, we expect GAAP earnings per share to be about $0.40 lower than adjusted EPS per quarter with the vast majority of accounting for our investment in equity-based compensation. So here are some more additional details on our 2026 outlook. We expect cloud revenue to increase 21% to $492 million which assumes $114 million in Q1, $121.5 million in Q2, $126 million in Q3, and $130.5 million in Q4. We expect services revenue to increase 3% to $517 million which assumes $124 million in Q1, $131.5 million in Q2, $137 million in Q3, and accounting for retail peak seasonality, $124 million in Q4. On attrition to cloud, we expect maintenance and license to represent about 4.4 headwind to total revenue growth in 2026. As such, we expect maintenance to decline 19% to $105.5 million which assumes $28 million in Q1, $27 million in Q2, $25.5 million in Q3, and $25 million in Q4. We expect license to be about $1 million per quarter and hardware to be between $6 million and $6.5 million per quarter. To support our strong bookings growth and the significant AgenTic AI opportunity, we have already onboarded about 100 new services associates in January and we anticipate these new hires coupled with license and maintenance attrition will result in consolidated subscription maintenance and services margin to be flat as reported compared to 2025. On a quarterly basis, we expect consolidated subscription maintenance and services margin to be about 57% in Q1, 59% in Q2, 60% in Q3, and accounting for retail peak seasonality, 60% in Q4. Removing the impacts of license and maintenance attrition our target implies 50 basis points of year-over-year improvement and we expect our effective tax rate to be 22% and our diluted share count to be 61 million shares which assumes no buyback activity. So in summary, 2025 was a great year of progress and execution. Thank you and back to Eric for some closing remarks.
Eric Clark: Great. Thank you, Dennis. To recap, 2025 was a successful year for Manhattan Associates, Inc. and we ended the year on a strong note. Business fundamentals are solid and we enter 2026 with accelerating momentum across the organization. So a big thank you for joining the call and thank you to our global team for all the great work they do for our customers. And that concludes our prepared remarks and we'd be happy to take questions.
Operator: Thank you. And with that, we will be conducting a question and answer session. And our first question comes from the line of Terry Tillman with Truist Securities. Please proceed with your question.
Terry Tillman: Yeah. Hey, good afternoon, Eric, Dennis, and Mike. Appreciate the time here. And then first congrats on the 4Q bookings. It's impressive and also just the 4Q cash flow finish. I have a question maybe for you, Eric, first in terms of both cloud migrations for WMS and starting to drive that kind of muscle tissue around fast renewals. I think those were some focus areas going into the year. Just, or really throughout '25 and into '26, can you share any progress reports on both of those areas?
Eric Clark: Great. Yes. Thanks, Terry. So I'll start with kind of that conversion and driving some of our on-prem customers onto active warehouse. You recall that we started that effort kind of mid-year in 2025 and we saw some early success we're now seeing, I would say, the fruits of that effort. And we're seeing the pipeline really start to build. We've already closed some of these deals in Q1, so that helped us get off to a quick start in Q1. And that's a part of, Dennis just talked about we've added 100 services headcount already in January. And, you know, that's a big difference from where we were a year ago in January. I think that says a lot about the confidence level we have in the book of business that we've built around services. So you combine the conversion opportunity with the new logo that we've brought in and what we see in terms of opportunity around forward-deployed engineers to help drive our AI efforts. And we're very bullish in that area. Yeah. Did I hit everything there, Terry?
Terry Tillman: Yeah. Yeah. You did. I mean, I said that was maybe just another part of this first question, so I may accidentally do two and a half here. I apologize to everybody. Okay. It's not one of those things that gets a lot of attention we just care about the numbers. It's always about the numbers and spreadsheets. But you talked about fast implementation times and faster time to value, I think, last year. Again, that's not gonna get a lot of the accolades, but where are you in some of those, progress efforts?
Eric Clark: Yes, great question. Thanks for asking. So we're making really good progress in those efforts and that's coming into play in some of our deployments. Even some of the that maybe were multiyear deployments that started years ago. And we're able to start accelerating those now. It's also coming into play in many of these, conversions that we're actually closing them as fixed fee, fixed timeline deals because we've got the confidence in that pace. So the other thing that'll where it comes into play, Terry, you know, we shared for the first time today the ramped ARR. And it grew 23% year over year. Part of what's driving that is we're able to sell more deals at a faster pace. We're driving a faster ramp of that revenue, and you're seeing that confidence come through in that area as well.
Terry Tillman: That's great. I appreciate that, Eric. And I guess, Dennis, the 4Q free cash flow strength. I'm curious, though, looking in '26, is there any way you can share any commentary on cash taxes or anything that we need to think about and just maybe the relationship of free cash flow to EBIT or EBITDA on '26, just for some kind of parameters? Thanks.
Dennis Story: Yeah. Terry, I think that's just it's similar from cash taxes.
Operator: Yes, got it. Thanks. Thank you. And our next question comes from the line of Brian Peterson with Raymond James. Please proceed with your question.
Brian Peterson: Thanks, gentlemen, and congrats on the quarter. So Eric, I wanted to dive into the RPO number that looks like a very strong number versus what we had expected. Particularly on the net new side. So I'd love to understand maybe in terms of deal timing, what products are out there, geos? Is there anything that you can share about what really drove that fourth quarter strength?
Eric Clark: Yeah. Thank you. The great thing about that fourth quarter strength is it really comes across a variety of products and a variety of deal types. And I shared several examples there. We always talk about the big deals can be lumpy and you don't know when they're going to come, but I think Q4, we rounded out the year in a very complementary way with a lot of those deal types across a lot of deal across our entire product suite. So that gives us confidence in the pipeline that we've got going into next year as well. But the other thing, I'll kind of great RPO, you know, we're really proud of what we did in terms of RPO sequential growth quarter over quarter and year over year. But we also recognize that as we come into 2026, where we know it's a year where we've got kind of an uptick in renewals, we want to give you that ramped ARR so that we don't have to go focus on renewing every deal at five years. If we can renew some of these deals at three years, that gives us another opportunity to increase price sooner. But when the only metric we give you to for you to measure growth is RPO, that might give you concerns if we're only giving you RPO. So that's why we're now going to give you this combination of RPO and ramped ARR so you can have confidence in the growth that we're projecting.
Brian Peterson: Got it. And I appreciate the new disclosures, guys. Dennis, I did have one clarification. You said 18% to 20% is coming for renewals in 2026. Is that the mix of the RPO target? I just want to make sure I understand the disclosure around that 18% to 20%.
Dennis Story: Yes, yes, that is the mix.
Eric Clark: Yes. So and again, if we held ourselves to make sure we renewed every deal at five years, it could be a higher number, but we think that's in the best interest of the company. So that's why we want to give ourselves the ability to renew some deals at three years as well.
Brian Peterson: Got it. Thanks, guys.
Dennis Story: Thanks, Brian. Thank you.
Operator: And our next question comes from the line of George Kurosawa with Citi. Please proceed with your question.
George Kurosawa: Great. Thanks for taking the questions. Maybe just to stay on this topic of renewals. I think if I got the numbers right, 18% of RPO bookings from renewals in 2025 and now expecting 18% to 20%. I think we were maybe estimating that might be a bit of a bigger uplift. Am I right in thinking here that maybe there's some level of conservatism baked into that or maybe there's these duration dynamics that you were just discussing? Anything else we should keep in mind?
Eric Clark: I think those are the key things. And maybe those two things go together conservatism on duration. Again, if we really held ourselves to make sure that we renew every deal five years that 18% to 20% could be higher. And the total RPO growth year over year could be higher. But we think we've got a very sticky product and our customers are not leaving us. All of our customers are renewing. So having the opportunity to have another conversation about price increase in three years versus five years is an advantage to us.
George Kurosawa: Okay. Okay. Very helpful. And then I wanted to touch on the services business. I think you mentioned you're looking to hire into that group. You're guiding to 3% growth for the year. Historically, that's been a line item that's maybe a little bit lower visibility relative to the rest of the business. What's kind of underpinning your confidence there?
Eric Clark: Yes. So it's a few things. Number one, that strong bookings growth in Q4 and really strong in total for all of last year going to continue to drive services well into 2026. But then again, we put these conversion programs in place in the middle of last year they're really starting to bear fruit. We're seeing the pipeline. We're seeing the deal volume pick up. That's creating services opportunity. And then I think the big one is AgenTic AI. You know, you look at a lot of SaaS companies that are out there trying to sell AgenTic AI, and they don't have the army of services people that we have. And we see this as an opportunity to use that army of services people as a big advantage because we have the domain expertise. We can go in with forward-deployed engineers and help our customers realize value very, very quickly. This is the first time since Manhattan Associates, Inc. launched the cloud product where we've got an opportunity to go out to every cloud customer all at one time and have an immediate upsell opportunity that can add value from day one. So, you know, this is new for us, and we want to make sure that we get that message to all of our customers as quickly as possible.
George Kurosawa: Great. Thanks for taking the questions.
Eric Clark: Yep. Thank you.
Operator: And our next question comes from the line of Joe Vruwink with Baird. Please proceed with your question.
Joe Vruwink: Hi, great. Thanks for taking my questions. Lot of questions on the renewal component to RPO. Next year. I wanted to ask about the remainder, the new bookings component. And what's kind of interesting is, so new new logos, you know, so heavy and what you were able to achieve in 2025. You said your expectation is that balances back towards normal. And yet, there's still a pretty healthy bookings component for '26. So that would seem to be kind of the pace of migration or maybe cross-sell to existing customers kind of picking up the slack. Are you seeing kind of some early evidence? I know you talked about deals closing already here in 1Q around the more consultative approach to conversions. But what are some of the other things you're doing to accelerate the pace of migration because that new bookings number looks pretty good relative to where our expectations were.
Eric Clark: Yeah. So, you know, when you think about new bookings us that includes new logo, it includes expansion within existing accounts and of course converting from on-prem to the cloud. We've talked about conversions quite a bit as you mentioned, but that expansion is a big opportunity for us. We've done really well in acquiring new logos. And we've got this renewal cycle of warehouse, active warehouse. So the opportunity to cross-sell and expand is really ripe for us as well, and that's a big focus area for us. We also consider that taking market share. Because when we cross-sell new products, we're taking that from someone else. So that's kind of continued focus on taking market share. So we'll do that in 2026 with new logos and cross-selling new products to existing customers.
Joe Vruwink: Okay. That's great. And then on the services outlook, so I guess that's good that kind of the update maybe as hard as that was a year ago. You really haven't missed on a service communication since then, and now you're bringing people back. Are there aspects of the services pipeline where you would maybe say it's a lower risk factor? Know George just asked about this question, but I think about these 66 timeline propositions that would seem to actually provide a high degree of confidence and a services outlook are there are things around, you know, maybe a different go-to-market approach where you're trying to de-risk, what you're communicating tonight?
Eric Clark: Yeah. So I think number one, we always try to de-risk what we're communicating and take a conservative approach. Of all of the revenue services is the tough one to predict a year from now. It's easier to predict closer to now. But we've got the confidence that we have in what we've shared is based on the things that I mentioned. Those all of that pipeline and new logo that we sold last year and in Q4 gives a whole lot of clarity. Those ramp timelines are fixed, that gives a whole lot of clarity to what we're doing. And the things that we're doing around conversions and creating fixed fee, yeah, those as that volume picks up, that gives us an opportunity potentially see upside in services as well.
Joe Vruwink: Great. Thank you very much.
Eric Clark: Thank you. Thank you.
Operator: And our next question comes from the line of Dylan Becker with William Blair. Please proceed with your question.
Dylan Becker: Hey, gentlemen. I appreciate the question here. Maybe Eric, starting with you, I think it's very clear that the RPO strength is quite exceptional. Guess maybe if you're to reconcile kind of that outperformance relative to maybe the contribution from some of these newer initiatives we've onboarded over the last maybe few quarters here, if we think about a dedicated migration team, partner emphasis, obviously, like, more of an expansion motion as well too. That something that you're starting to already see kind of some of the fruits of the labor from? And maybe how we think about that layering in over time as well too and contributing to strength throughout the balance of the year, maybe as those start to ramp and become more contributors over time?
Eric Clark: Yes. So I think some of the things that some of the programs that we put in place in 2025 did have a positive impact. But realistically, most of the pipeline we close is a little bit longer-term sales cycle. So I think you've got a credit what the team had in place before we went into 2025. Maybe we influenced some of that in the second half and got a little bit better result. But largely, the result that we got was based on the preparation that happened before '25. Now that being said, I think we did a whole lot of great preparation in '25 for '26. And that's when I think we will really start to see the fruits from our labor around these programs. We put in place in the '25.
Dylan Becker: Perfect. Okay, great. Thank you. And then maybe for Dennis, or if you have a comment as well too. On the fully ramped metric as well too. Obviously, some nice room for incremental kind of contribution step-ups relative to what we're doing today, from a cloud revenue perspective. I guess, how you think about, the in-year contribution of those ramps effectively kind of like what's committed, what you have visibility into? I know, Dennis, you called. Called out high levels of visibility here, but maybe kind of parsing through what's rolling off of kind of that ramped backlog and giving you conviction in that 20% growth versus kind of what's an incremental net new that you kind of have to go and get in a particular year?
Eric Clark: So maybe I'll start with that just to make sure I understand the question very clearly. When we talk about that ramped ARR, what we're doing is at the 2025 everything that is sold we're looking at the ramps over the next four years. And then comparing that to the same thing a year ago. So in that ramped ARR, it doesn't assume any new sales. That is all committed revenue. And then everything new that we sell adds to that committed revenue. Is that kind of the question you're asking, or am I missing something there?
Dylan Becker: It was more in the, in the context of how that flows through to reported cloud revenues. Right? Of what's the kind of step up in that ARR that you actually realize in a particular year just giving you kind of conviction in the durability of the 20% growth algorithm, if that makes sense?
Eric Clark: Yeah. And the ramps vary. And in any given year, we've got as you know, some of our products like POS and order management ramp quicker, but some of the long complex warehouse do often take four years to fully ramp. And in any given year, we've got some that are four years in, some that are three years in and two years in and one year in. But you've seen the volume over the past several years of our sales growth. So we're you know, each one of those categories is kind of stepping up each year, which is compounding that growth each year.
Dylan Becker: Very helpful. Thanks, Eric.
Eric Clark: Yep. Thank you. And then maybe one thing I'll add to that, sorry, is, our GRR gross retention rates are world-class and that really gives us confidence. So Dennis talked about the assumptions around this new ramp ARR number is that we're assuming no churn and no price increase. Well, that also creates upside because there's more opportunity for price increase than there is return.
Dylan Becker: Thank you.
Operator: And our next question comes from the line of Parker Lane with Stifel. Please proceed with your question.
Parker Lane: Hey guys, thanks for taking the questions here. Eric, great to see the commercial availability of the AI agents and the agent foundry. Was just wondering if you could go a little bit deeper on the monetization strategy around these agents if you expect that to be fairly static across the different types of agents you're providing, including those that are more customized. And when you look out the 2020 I know we're really early here, but what sort of momentum do you anticipate seeing within your base from an adoption standpoint? And perhaps any thoughts on how much that could contribute to growth here in the near term?
Eric Clark: Yes, thank you for that. So number one, we're really excited about what we've launched and we think this is truly different in the market. We're in a unique position where we really have stuck to our model on creating a true API-driven microservices platform that is truly integrated. So we don't have to start the conversation with a project of data indexing and moving to a data lake. We start the projects by turning it on and you've got live agents working in your system that are natively working in your platform. So that's something that's really unique. And I think we've got a lot of customers that are looking for ways to figure out how to take advantage of AI. And this gives them a very easy opportunity to. And we're offering this at a very low-cost low-risk scenario. It's a ninety-day proof of concept. It will come with forward-deployed engineers that will make sure that they learn how to use all of the standard agents that they can turn on day one. And those forward-deployed engineers will also help them build at least one or two custom agents using our agent foundry. And train them how to build their own custom agents. Clearly, all of this is, so that when we get to the end of that ninety-day proof of concept, we've got customers that say, there's no way we can turn this off. It's adding so much value. We've got to use it. And that's when we monetize it. So, we're pricing this. We want to keep it very simple for our customers, so it's an uplift. Kind of like we do with labor and slotting and some of the other things that we have within our product. It's standard uplift, and that makes it easy for our salespeople to have the conversation and easy for our customers to buy.
Parker Lane: Thanks, Eric. And Dennis, one for you. Just to clarify on the customer liquidation headwind you faced. Was that $1.3 million for the fourth quarter that wasn't contemplated in the guide? And if so, what's the annualized headwind you anticipate there in '26?
Dennis Story: Yes, was in the quarter $1.3 million or $2.5 million annualized.
Eric Clark: Okay, yep.
Parker Lane: Got it. Okay. So that wasn't in our numbers a quarter ago. That happened quickly and surprisingly. But it's now baked into all of our numbers.
Parker Lane: Okay. For clarification.
Dennis Story: Thank you.
Operator: And next is Christopher Quintero with Morgan Stanley. Please proceed with your question.
Christopher Quintero: Hey, Eric. Hey, Dennis. Really appreciate the ARR disclosure here. That's super helpful, especially with all the different dynamics hitting the RPO metrics. So thank you for that additional color.
Eric Clark: Yep. Of course.
Christopher Quintero: I've got two questions on services. It's usually the number one question I get from investors is how do we think about the services business over the medium and long term? Clearly, it's really great to see that get back to growth. You have some easy comps from '25, but you also have a lot of renewals coming up. So is there any color you can give us around what is that kind of medium normalized kind of growth rate for the services business? Potentially look like here?
Eric Clark: Yes. So it doesn't surprise me that you get that a lot because I think in the services, in IT services world that question is going around a lot. I think what's unique about our services business is that it is so domain specific. And that gives us a unique advantage across our products, but also when we're talking about things like AgenTik AI. You know, the real value in AgenTik AI is being able to tie it to that domain knowledge and domain expertise. And that's what we're doing with our forward-deployed engineers. All that being said, and, you know, based on some of the comments I made earlier, these are all the things that give us confidence for that mid-single-digit growth rate in services. We don't expect this to be a double-digit growth rate and we don't necessarily want it to be. We want to our focus is on growing the cloud double-digit. 20% plus.
Christopher Quintero: Got it. That's super helpful, Eric. And then if we go back to, you know, this call last year, you all talked about some of those implementation, in-flight implementations that got pushed out. Any update on that? Like how did all those close in 2025? Are you still kind of working through some of those? Any additional color there would be helpful.
Eric Clark: Yeah. I think there's, you know, a little bit of all over the board on some of those. But the reality is, I think, in a large part, none of them stopped. As we said a year ago, none of them are stopping. They were just slowing down. They're all back deploying again to some extent. Some of them are you know, now ahead of where they were, you know, ahead of schedule, and we continue to have these conversations. If you remember, we talked about not only are we offering fixed fee conversions, but in some cases, we're going out to some of these customers and offering fixed fee hey, let us do the next 10 DCs that we've already got the recipe for, let us go roll these out quickly. So there's a big effort to make sure all of those catch up or get ahead of their schedule plan.
Christopher Quintero: Awesome. Thanks so much, Eric.
Eric Clark: Yep. Thank you.
Operator: Thank you. And our next question comes from the line of Guy Hardwick with Barclays. Please proceed with your question.
Guy Hardwick: Hi, good evening. Hi, Eric. I also NRF and I was able to fortunate enough to speak to some Manhattan Associates, Inc. reps and obviously, a home den on the active agent subscriptions, which you mentioned in the in your prepared remarks. So I know it was asked a little bit earlier, but asking in a different way. Are you assuming any incremental subscription bookings from active agent subscription in that $2.62 to $2.68 billion RPO guidance for the year? Or is it within the SaaS revenue guidance? Or would anything be incremental if it's not?
Eric Clark: Yes. So we've taken a very conservative approach. Anything we do in AI is incremental to what we've talked about today.
Guy Hardwick: Okay. Got it. And just as a follow-up. I guess that given you in terms of the Q4 bookings, how much of was that a catch up from perhaps the bookings being a little bit disappointing in Q3? So how much was it of bookings, which should have fallen in Q3, fell falling in Q4? And then how much was down to your sales guys over delivering or perhaps delivering better than expected?
Eric Clark: Yes. I think when we talked about Q3 bookings, was a little below what we wanted it to be. But at the time, I said we are still on track to hit our full-year number. And that is a little bit just the lumpiness but we beat our full-year guidance by $40 million. So it absolutely was more than just timing by quarter. It was overperformance by the team.
Guy Hardwick: Thank you.
Eric Clark: Thank you.
Operator: Thank you. And our next question comes from the line of Mark Schappel with Loop Capital Markets. Please proceed with your question.
Mark Schappel: Thank you for taking my question. Nice job on the quarter, especially on the RPO print. Eric, a question for you here. Could you just comment on the CIO sentiment you're seeing with respect to green lighting large WMS and TMS conversion projects and maybe how that sentiment has evolved over, say, past six to nine months?
Eric Clark: Yeah, I would say, the sentiment really hasn't changed drastically. Over the past six to nine months. I would say that our customers that are in programs are really like everything we're doing about speeding them up, speed and simplicity, how can they get to their ROI faster. The reason companies embark on this is because it truly does create efficiency and it does create cost savings and it does create ROI for them. So the faster they can achieve that, the better. But you can I gave you several examples of Q4 companies and the types of companies that we sold to and what they bought? Many of them being new logos, we still see a very healthy of companies that are recognizing if they want to achieve things that they need to do to meet their business strategies, they need software that supports that. And there's not another provider in the market that can provide what we can in these spaces, and that's why we continue to see these very, very strong win rates against the competition.
Mark Schappel: Great. Thank you. And then as a follow-up here, in terms of your sales motion, obviously, a very strong quarter for new logos again this quarter. Could you also talk a little bit about the mix this quarter with conversions and cross-sells? And also how we should expect that to or how we should expect that mix to evolve in the coming year?
Eric Clark: Sure. We always say that over time that it's kind of the rule of thirds. One third will be new logo, one third will be expansion and one third will be conversion. But clearly what we saw in 2025 is we had 20 we had 55% come from new logos. So that was a pretty remarkable performance. Now if any one of those three categories is gonna be higher than the others, I would absolutely want it to be new logo because that means we're going out, we're taking market share. That being said, I think just being realistically, and the more new logo we win, the more opportunity we have for expansion. And we know we have a ripe, set of customers that are getting ready for conversion. So we're just kind of weighing that as, you know, probably the rule of thirds over a longer period of time will come back into play. But we see big opportunity in all of those categories.
Mark Schappel: Thank you.
Eric Clark: Thank you.
Operator: And our last question comes from the line of Clark Wright with D. A. Davidson. Please proceed with your question.
Clark Wright: Hi there. Thank you. Most of my questions have been asked here already, but just wanted to understand again going back to the services revenue. And the opportunity that you have there once the customer is converted to the cloud. What's driving really the upsell from there on out and how do you continue to drive value through services in your domain expertise moving forward?
Eric Clark: Yeah. So once a customer converts to the cloud, keep in mind, every quarter they get quarterly updates. So new features and that come to them through release notes and then our teams will help them determine which of these features and functions can add value to you right away, which do you want to think about later, etcetera. So the customers that are having the most success and getting the most value out of this software platform that we've built are the ones that are really looking at that quarterly. So then it comes in the services that are related to that come in very small doses each quarter. As compared to back in the old on-prem days, maybe it was an upgrade every five or ten years. With no services in between. So now it's more of a steady dose of services throughout the life of the partnership.
Clark Wright: Awesome. That's helpful. And then just in terms of oh, go ahead.
Eric Clark: No, please go ahead.
Clark Wright: I was just wondering in terms of the strengths of the new business that you're talking about, has there been any specific verticals where you've seen more traction than others?
Eric Clark: Well, I think what's been exciting for us is it's been very diverse. People really know us as we're really strong in retail and a lot of people think about us as that retail strength. But when I kind of listed out the wins and talked about the wins that we had in Q4, it goes far beyond retail. And it's great to see we're getting more and more strength and more dominance outside of retail.
Clark Wright: Thank you.
Eric Clark: Thank you.
Operator: Thank you. And ladies and gentlemen, with that, this does conclude today's question and answer session. I would now like to turn the floor back to Eric Clark for any closing remarks.
Eric Clark: I know we ran a few minutes long, but thank you all for sticking with us. Really appreciate your time. We're pleased with where we are here in Q1 and excited about the year ahead.
Operator: Thank you. And with that, ladies and gentlemen, this does conclude today's teleconference. We thank you for your participation, and you may disconnect your lines at this time, and have a wonderful day.